Operator: Good afternoon, everyone. And thank you for participating in todayâs conference call to discuss The Greenrose Holding Companyâs financial results for the Second Quarter ended June 30, 2022. Joining us today are Greenrose âs CEO, Mickey Harley, the companyâs CFO, Bernard Wang; and the companyâs Chief Business Officer, Paul Wimer. Before I introduced Mickey, Iâll remind you thatâs todayâs con -- todayâs call including the question-and-answer session, statements that are not historical facts, including any projections or guidance, statements regarding future events or future financial performance or statements of intent or belief are forward-looking statements and are covered by the Safe Harbor disclaimers contained in todayâs press release and the companyâs public filings with the SEC. Actual outcomes and results may differ materially from what is expressed in or implied by these forward-looking statements. Specifically, please refer to the companyâs Form Q-10 (sic)  for the quarter ended June 30, 2022, which was filed prior to the call, as well as other filings made by Greenrose with the SEC from time-to-time. These filings identify factors that could cause results to differ materially from those forward-looking statements. Please note that during the call, management will disclose adjusted EBITDA. This is a non-GAAP financial measure as defined by the SEC regulations. A reconciliation of this non-GAAP financial measure to the most directly comparable GAAP measure and a statement disclosing the reasons why company management believes that adjusted EBITDA provides useful information of investors regarding the companyâs financial condition and results of operations is included in todayâs press release that is posted on the companyâs website. With that, I will turn the call over to Mickey.
Mickey Harley: Thank you, Operator, and good afternoon, everyone. We continue to make progress on strengthening our foundation as an early-stage multi-state operator during the second quarter. Across the two states in which we operate Connecticut and Arizona, we have worked diligently to optimize and ramp our capacity in an effort to deepen our presence in these markets and prepare for the forthcoming expansion opportunities, in particular the opening of the Connecticut adult-use market. Our second quarter revenue increased by 40% year-over-year, due to incremental revenue contributions from True Harvest, where we have made strong progress, with debottlenecking our operations and have generated sequential month-over-month sales improvements. The operational improvements allowed us to focus our efforts on sales and market share, noting that as per BDSA sales in Arizona were off year-over-year, while we increased our own sales during the same time period. At the same time, we are observing increased wholesale supply generally in the Arizona market, which appears to be putting pressure on both wholesale and retail pricing. As a premium tier producer in Arizona, we have seen less of an impact, but we are closely monitoring the market dynamics. From a production perspective, we have continued to finish the build out of our expanded cultivation capacity at True Harvest. While our True Harvest production has generally been below capacity, we expect a stronger second half now that the facility is fully activated with the seventh and eighth flowers now online. To handle our increased capacity, we are currently expanding our True harvest sales team. As we bring more of this capacity online, we look forward to further improving our operational efficiencies, bringing costs down and expanding our margins. In Connecticut, Theraplant has continued to operate well. We have continued working on -- working to ramp our expanded cultivation capacity at Theraplant, as well as build inventory ahead of the expected start of recreational cannabis sales in the state. After we completed the population of all our grow rooms at our cultivation facility last quarter, we successfully completed our first harvest from the two newest grow rooms in June. As we have scaled the operations, the Theraplant management team has executed in an extremely efficient manner, driving an already low cost per pound down even further. At the same time, we have continued to build inventory in preparation of the opening of the Connecticut adult-use market. Overall, Theraplant continues to generate strong free cash flow and we are excited to be awaiting the adult-use market. Within Connecticutâs current medical market, we continue to experience headwinds from lower patient demand during the second quarter, as well as increased competition from the illicit -- states illicit market. These headwinds impacted our revenue performance during the quarter, which came in softer than expected. While these dynamics have created a challenging operating environment in the first half of this year, we are focused on maintaining our strong wholesale relationships with our dispensary partners throughout Connecticut, as we navigate limited visibility and how the stateâs medical market may evolve going forward. As our Chief Business Officer, Paul Wimer will discuss in greater detail later in the call. Greenrose together with its partners filed initial Retail License Applications in the Connecticut State as part of the stateâs equity joint venture or EJV program subsequent to the end of the second quarter. In the Connecticut Social Equity Councilâs Review of the Applications, we were among the 14 applications which were denied due to certain identified deficiencies. We are currently working with our partners to address these deficiencies in the applications and satisfy applicable regulatory requirements, while also exploring other ways to participate in the forthcoming recreational retail landscape. As the year has progressed, our view into when and how the Connecticut adult-use market will open has evolved and accordingly we are re forecasting our 2022 and 2023 projections. As we do this work, we are temporarily suspending our 2022 financial outlook, which had assumed on October 1, 2022 start date to Connecticut recreational cannabis sales. We expect to update the market with our re-forecasts for 2022 to 2023 soon. As we progress into the second half of the year, we believe we are well-positioned to continue expanding our operations and enhancing our presence in Arizona and Connecticut. We are growing the foundation of our multi-state presence around two robust efficient cultivation operations that are positioned to benefit from not only the early-stage recreational market opportunity in these states, but also the traction that our Theraplant and Shango-branded products have already gained in these markets. We continue to believe that leading with cultivation allows us to focus on enhancing our capacity, operational efficiencies to serve our rapidly expanding addressable market in each day. I am proud of our teamâs work to do so through the first half of this year and we look forward to making additional progress on these fronts over the coming quarters. We will have more to say on our strategic objectives later in the call. But first Iâd like to introduce and turn the call over to our new Chief Financial Officer, Bernard Wang. Bernard was appointed as our new CFO effective August 8th and he brings over 25 years of finance and accounting experience assisting both public and private companies to improve internal controls and accounting processes and also in capital raising initiatives. We look forward to leveraging Bernardâs strong public company reporting in cannabis industry expertise and we would like to thank our former CFO, Scott Cohen, for his contributions to Greenrose during his time with the company. Now Iâd like to turn the call over to Bernard for a quick introduction. Bernard over to you.
Bernard Wang: Thank you, Mickey. Itâs great to be speaking with all of you today. As Mickey mentioned, I have worked with both public and private companies over the past 25 years in various finance and accounting capacities. Most recently, I served as the Interim Corporate Controller and Director of Accounting at Fat Brands and I previously served as the Corporate Controller and Vice President of Finance at Canndescent, a California-based luxury cannabis company. I look forward to working with our Greenrose team to support our strategic objectives as an early-stage cannabis company. Now to review the companyâs second quarter financial results and a few other operational highlights, Iâll turn the call over to our Chief Business Officer, Paul Wimer. Paul?
Paul Wimer: Thank you, Bernard. Turning to our financial results. Revenue in the second quarter of 2022 increased 40% to $9.2 million, compared to $6.6 million in the year ago quarter. The increase primarily reflects incremental revenue contributions from True Harvest compared to the prior year, which only included contributions from Theraplant. Theraplantâs second quarter revenues decreased year-over-year as a result of sustained demand headwinds in Connecticutâs medical market, as well as increased competition and impacts from the state illicit market. True Harvest second quarter revenue performance continues to reflect the impact of production disruptions, resulting from the facilityâs recent expansion. Cost of goods sold net for the second quarter of 2022 was $6.3 million, compared to $2.1 million in the year ago quarter. The increase was due to purchase accounting considerations in the fair value step of inventory, which amounted to a $1.2 million cost increase for Theraplant. Cost of goods sold during the second quarter also reflects a $2.9 million cost contribution from True Harvest, including True Harvest fair value step up of inventory. We also continue to incur startup costs related to our initial planting and production processes at Theraplantâs new production facility, as well as ramping our expanded capacity at both Theraplant and True Harvest. Gross profit in the second quarter of 2022 was $2.9 million, compared to $4.4 million in the year ago quarter, reflecting a gross margin of 31.5%, compared to 67.6% in Q2 of 2021. The decrease was primarily due to the purchase accounting considerations in the fair value step of inventory, I just mentioned, partially offset by $1.3 million in incremental gross profit contribution from True Harvest. General and administrative expenses for the second quarter of 2022 were $3.3 million, compared with $0.6 million in the year ago quarter. This increase was primarily driven by incremental cost contributions from True Harvest relative to the prior year period, which only included expenses from Theraplant, as well as additional public company expenses. Net loss in the second quarter of 2022 was $10.3 million, compared to a net income of $3.3 million in the year ago quarter. This was primarily attributable to the revenue impacts of the production interruptions at True Harvest and ongoing demand headwinds in the Connecticut market, as well as increased interest expense of $6.9 million, purchase accounting fair value inventory step up of $2.2 million and intangible amortization expense of $4 million. Adjusted EBITDA for the second quarter of 2022 was $3.1 million, compared to $4.6 million in the year ago quarter. The decrease was primarily driven by the lower level of gross profit generated during the quarter, higher corporate general and administrative expenses and costs related to ramping our production capacity at Theraplant and True Harvest. Capital expenditures for the second quarter of 2022 were $0.9 million, compared to $1.9 million in the year ago quarter. The decrease primarily reflects our completed construction on Theraplantâs cultivation expansion, which concluded at the end of 2021. While we continue to expect some incremental CapEx related to our completing our next phase of build out at True Harvest, we still expect to operate at more of a maintenance level quarterly run rate  as we continue ramping our capacity and begin restoring more normalized operations thereafter. At June 30, 2022, cash and cash equivalents combined with restricted cash totaled $2.7 million, compared to $9.1 million at December 31, 2021. The decrease was driven by acquisition related expenses and debt obligations. Finally, as Mickey mentioned earlier, weâre temporarily suspending our full year 2022 financial outlook, in which we had previously expected revenue to range between $100 million to 120 million, net income to range between a net loss of approximately $5 million to a net income of approximately $1 million, excluding any fair value adjustments to financial instruments and transaction-related expenses and adjusted EBITDA to range between $65 million and $75 million. Weâre suspending until we can gain greater visibility and clarity and the timing of Connecticutâs recreational sales rollout, as our projections had assumed and expected Q4 2022 start for these sales. As we gain additional visibility, we expect to reevaluate and provide updates on our full year 2022 projections. Through the remainder of 2022, we expect to remain focused on further enhancing our operational and capital efficiency, deepening and expanding our wholesale networks in both Connecticut and Arizona, and maintaining the high quality for which our products are known across the communities we serve. Turning to some of our other operational highlights, in addition to Bernardâs appointment as our new CFO, we made another key leadership appointment this month, effective August 1st we appointed Benjamin Rose to our Board of Directors. Ben is the Founder and Managing Partner of Boundary Peak Advisors and he brings over 25 years of experience in the investment industry, with experience supporting growth initiatives and capital raising efforts for early-stage companies across several emerging industries, including cannabis. In his role at Boundary Peak, he helps facilitate our $105 million secured -- senior secured credit facility from DXR Finance to assist with completing our acquisition of Theraplant. Ben has also served as Chairman of the board for MedMen, where he spearheaded several restructuring and governance improvements, including fully facilitate a backstopped $100 million equity private placement led by Serruya Private Equity. Both Ben and Bernard bring deep cannabis industry and public company experienced to Greenrose as we navigate our early days as a public multi-state cannabis operator. We believe their employment strengthen our leadership team as we continue ramping our presence in our current markets and improving our capital and operational efficiency. We welcome their contributions as we drive forward on our strategic objectives this year. To provide some additional color on on a market level strategic update, Mickey mentioned earlier, we took an initial step to enter Connecticutâs recreational cannabis market on a retail level. Subsequent to the second quarter, we together with our partners applied for four licenses and two hybrid retail licenses in Connecticut through the stateâs developing EJV program. Of these, the four Greenrose-related retail licenses were among the 14 retail applications that were recently denied by Connecticutâs Social Equity Council based on the proposed structure for partnerships. Weâre working with our partners to address these concerns and meet the applicable regulatory requirements. As weâve discussed today, this environment has challenged our visibility as to the timing and potential progress on our plan retail expansion and how soon we can begin participating in the upcoming recreational market. For the time being, weâre working closely with our partners to stay apprised of further regulatory developments and ensure that weâre in compliance with the stateâs recreational structure as it unfolds. As of now, we believe that Theraplantâs robust production operations and strong wholesale relationships position us to benefit from the recreational market once it activates. From a production standpoint, both our state markets, we remain comfortable with our current cultivation footprint, as we have an expanding grow capacity that provides robust supply to our wholesale markets and has plenty of room for continued expansion. As we ramp our cultivation operations at our expanded Theraplant facility and continue to progress our activation and construction efforts on our additional capacity at True Harvest, weâre focused on improving our ability to serve our existing wholesale network in each state market and to improve our foundation for vertical integration as retail opportunities come to fruition. Looking ahead, weâre focused on building up upon our two-state platform in Arizona and Connecticut through leveraging our existing production efficiencies at Theraplant and True Harvest, further supporting our high quality flower brands and improving our positioning for additional expansion opportunities as they arise. While our work to establish our platform is still in its early days, we will continue our diligent efforts to strengthen and scale our foundation as an emerging premium operator. Weâll now open a call for Q&A.
Operator: Thank you, sir.  Okay. Our first question comes from Peter Guerrero . Your line is open.
Unidentified Analyst: â¦ to-date or month  for Connecticut would be open and I do know that Connecticut from what I heard is expanding their -- the dispensaries, are going to be able to approach those dispensaries. And in addition, I know their fees that the state requires growers that taxing meet -- I got to be able to taxing meet those fees and time of the opening of the market? Thank you.
Mickey Harley: Thank you, Peter. This is Mickey. Yeah. So when we first put out our projections, we were expecting on October 1st or we were projecting on October 1st opening date. We think that date is being pushed back a bit, but we do expect from everything weâre hearing and we understand that itâll be sometime this year when Connecticut opens up the recreational market. We do expect to sell to all of the stores in the retail base as those stores get their licenses and start to build out. We would expect to see some inventory stocking in a month or two before the rec market opens. We are very well-positioned to serve the entire market. I believe we have the largest cannabis capacity in the market right now. We are building a good amount of inventory in preparation and I expect that we will be the dominant supplier in the early months of the market opening. Peter, would you mind, what was the last question?
Unidentified Analyst: About Connecticut has certain, I guess, fees toâ¦
Mickey Harley: Oh! Yes. Yes. Yes.
Unidentified Analyst: â¦so that they canâ¦
Mickey Harley: The conversion fees. Yes. We do expect to â¦
Unidentified Analyst: Yeah.
Mickey Harley: â¦ pay that conversion fee soon.
Unidentified Analyst: All right. Got it. All right.
Mickey Harley: Thank you, Peter.
Unidentified Analyst: Thanks. Thank you.
Operator: Thank you.  Thank you. At this time, this concludes the Q&A session. I will now turn the call back over to Mr. Harley for any closing remarks.
Mickey Harley: Thank you, Operator. Appreciate it. So thank you everybody for participating in the call and weâre excited how our second quarter turned out and look forward to the third quarter. Thank you.
Operator: Ladies and gentlemen, this does conclude todayâs teleconference. You may disconnect your lines at this time. Thank you for your participation.